Operator: Thank you for joining Mistras Group’s Conference Call for its Second Quarter Ended June 30, 2024. My name is Brianna, and I’ll be your event manager today. We’ll be accepting questions after management’s prepared remarks. Participating on the call for Mistras will be Manny Stamatakis, the company’s Chairman of the Board, an Interim President and Chief Executive Officer; and Ed Prajzner, Senior Executive Vice President and Chief Financial Officer. I want to remind everyone that remarks made during this conference call will include forward-looking statements. The company’s actual results could differ materially from those projected. Some of those factors that can cause actual results to differ are discussed in the company’s most recent annual report on Form 10-K and other reports filed with the SEC. The discussion in this conference call will also include certain financial measures that were not prepared in accordance with the U.S. GAAP. Reconciliation of these non-U.S. GAAP financial measures to the most directly comparable U.S. GAAP financial measures can be found in the tables contained in yesterday’s press release and in the company’s related current report on Form 8-K. These reports are available at the company’s website in the Investors section on the SEC’s website. I will now turn the conference over to Manny Stamatakis.
Manuel Stamatakis: Good morning, everyone. Thank you for joining us today. Mistras reported strong top- and bottom-line growth for the 3rd consecutive quarter and remains on pace for fiscal 2024 adjusted EBITDA that will be one of our all-time high performances years. This coincides with the formal implementation of the initiatives identified by Project Phoenix, which continues to guide us forward. Results continue to reflect the improved discipline and the overall benefits of our key financial, operational, and strategic initiatives with the goal of continuing to improve overall profitability. Consequently, you can understand why I am very pleased with the significant improvement in our operating leverage, which enabled us to increase the adjusted EBITDA by nearly 45%, on revenue that was up nearly 8% in the second quarter. Adjusted EBITDA growth this quarter is sequentially in line with the first quarter and demonstrates the consistency and predictability of our performance, which we believe is a key to creating shareholder value. Revenue in the second quarter reflected growth across all industries, with a double-digit increase in Aerospace and Defense of 17.5% and Oil& Gas up 3% on the strength of an anticipated robust spring turnaround cycle. We grew in revenue in each of our segments, North America, International and Products, for the first time since Q1 of 2023. I am particularly enthused with the continued progress achieved by our enhanced commercial function, led by our Chief Commercial Officer, Jerry D’Alterio, which was implemented late in 2023. Our enhanced commercial function has helped refine our go-to market approach, pricing strategies, contract management and other key initiatives, which have provided a meaningful benefit to our operations and will continue to do so. On the top-line, our focus on enhancing our commercial function is contributing to our success. We are achieving better sales cycle conversion and efficiency. Pricing discipline in particular is gaining significant traction and is making a meaningful contribution to the improvement in our gross profit margin. About one quarter of the revenue increase in the second quarter of 2024 was attributable to price increases realized as an outcome of successful negotiations with our customers. Gross profit dollars and gross profit margin was also up in the second quarter across all segments, as was operating income. On a consolidated basis, operating income was $12 million for the second quarter of 2024, which was an increase of over 200%. Selling, general and administrative expenses were down compared to both the year-ago quarter and year-to-date periods. For the second quarter, SG&A was 21.6% of revenue, which is down sequentially from the first quarter and directionally oriented to our overall 21% of revenue goal for the year. However, I will note we have not yet achieved the total reduction in overhead which I anticipate for the full year. I am excited for the renewed level of cost discipline under the direction of Chief Transformation Officer, Hani Hammad, who was hired late in the first quarter of 2024 and who is creating strategies for ongoing cost monitoring to further improve our operating leverage. Despite the significant achievements in most financial measures during the quarter, I would like to note that cash from operations and free cash flow performance for the quarter and year-to-date period significantly lags that of prior year and the company’s expectation. Management is intently focused on improving this performance during the remainder of the year through various actions, which Ed will cover later. A few additional comments on the second quarter are as follows. Our Aerospace and Defense business return double-digit revenue growth with North America back to pre-pandemic levels and International quickly headed in that direction. For that reason, we will continue to increase our investment in this industry, where we are extending our service offerings to include more additive manufacturing and mechanical work beyond just inspection testing. We are also expanding our scope of work in the private space industry. We expect continued strong performance in this industry over the balance of the year. Data Analytical Solutions revenue for the quarter was $18.3 million. While this is a slight increase over the prior year quarter, it did not meet our growth expectations as some scheduled jobs pushed out beyond the second quarter and there were some anticipated delays due to new customer implementations. We anticipate the second half to be much stronger than the first half. As support for this, PCMS was just awarded a significant new contract of nearly $7 million scheduled to kick off in the fourth quarter of this year and to run through 2025. The PCMS contract awarded was bundled with inspection services as well. The most exciting part of this award is that PCMS acted as the architect of this customer’s mechanical integrity program and the Mistras services not only include a full data service component hosted in our SaaS environment, but also include consulting, engineering, field baseline inspections. And most importantly, Mistras will be collecting all test and inspection data electronically through our PCMS mobile solution. This bundled software and service solution is something that none of our competitors can offer as a complete package. In addition, we were recently awarded multiple PCMS contracts with international customers in geographic regions in which we previously had little presence. In addition to PCMS, we are expanding our global footprint with a series of new contract awards, which utilize our state-of-the-art automatic RT crawlers to inspect pipelines around the world outside of North America. We expect this geographic expansion to continue. The search for a permanent CEO remains on track, and my goal is to have our next CEO identified by the end of the third quarter. Once in place, I will remain active as the Chairman of the Board, and look forward to working closely with the CEO, not just during a transition period, but also on a recurring basis going forward. Last quarter, I noted we were still early in the Project Phoenix process, and that there was still work to do. Although we have taken great strides, I still see tremendous opportunity for additional growth and profitability. And lastly, once again, I want to note the renewed sense of commitment and dedication being demonstrated throughout the entire organization. Now, I would like to turn the call over to Ed for a more detailed update on our recent results.
Edward Prajzner: Thank you, Manny, and good morning, everyone. The second quarter of 2024 was our 3rd consecutive quarter of strong top- and bottom-line results, coinciding with the formal institution of the various Project Phoenix initiatives as our new standard operating procedure. Given this new focus and enhanced processes, we once again met or exceeded our outlook in the second quarter. And as such, we remain on target to achieve one of our all-time high performance adjusted EBITDA years. This was the ultimate objective of Project Phoenix, leveraging our core competencies to unlock our inherent value. Revenue in the second quarter was up meaningfully for the 3rd consecutive quarter, increasing nearly 8%. Consistent with the first quarter, about one quarter of our overall growth was attributable to price increases, where we have taken pricing actions starting primarily with smaller- or mid-sized customers. In addition, growth was net of certain work that we vacated, because it did not meet the new profitability benchmarks established by our commercial function. Aerospace and Defense continued its strong growth trajectory, with revenue being up 17.5% in the second quarter, on the heels of having been up 18.9% in the first quarter, making this its third consecutive quarter of favorable results. Commercial aerospace continues to be extremely strong and we are also generating significant growth in the private space industry as well as a result of the increase in number of launches. We are channeling incremental capital into our Aerospace and Defense business in order to capitalize on what we see as a unique window in the market to accelerate growth. Capital funds are going primarily to our Shop Laboratories, where we are expanding the services that we offer to help debottleneck our customer supply chain constraints. As Manny indicated, we expect strong performance from the higher margin Aerospace and Defense industry throughout the year. Our Oil& Gas industry revenue has also continued to be very resilient in the second quarter of 2024, up 3% over the prior year quarter after having been up 14.7% in the first quarter on the strength of a robust spring turnaround season. Actually, all of our end markets were up in the second quarter compared to the prior year quarter, demonstrating the diversity of the industries that we serve. Both growth profit and margin expanded again in the second quarter, primarily attributable to a favorable sales mix change and lower healthcare claims expense, as well as due to the favorable impact of Project Phoenix actions realized in 2024, including pricing increases achieved. Selling, general and administrative expenses were down both sequentially and year-over-year, although admittedly somewhat modestly and less than expected in light of our cost reduction plan. For the quarter, our SG&A was 21.6% of revenue and was 22% of revenue for the 6 months ended June 30. As Manny mentioned earlier, we remain committed to achieving our goal of reducing SG&A to approximately 21% of full year 2024 revenue. Note that our original EBITDA outlook for 2024 anticipated in incremental year-over-year gross profit benefit of $3 million and SG&A benefit of $12 million due to Project Phoenix initiatives. Based upon our implementation of Project Phoenix, we have validated this cost savings of $15 million in aggregate. However, this benefit is now revised to be $7 million of cost of revenue reduction and $8 million of SG&A reduction savings in fiscal 2024. Therefore, although we will still realize a $15 million aggregate improvement to adjusted EBITDA in 2024 attributable to these items, there will be a change in the distribution of savings between the cost of revenue and SG&A line respectively. However, this change has no net impact on our outlook for adjusted EBITDA for fiscal 24. Nevertheless, the company’s primary objective is to create shareholder value by improving our bottom-line profitability. And in the second quarter, we made significant progress on this front, with GAAP net income of $6.4 million or $0.20 per diluted share, up from $0.3 million or $0.01 per share a year ago. And after rising 55% in the first quarter, adjusted EBITDA was up 44% to $22 million in the second quarter and stands at $38.3 million for the first half of 2024. With regard to cash flows, net cash provided by operating activities was $5.2 million and free cash flow was negative $6.9 million for the first half of 2024. Each of these metrics were well below the prior year comparable metric. And both were adversely impacted by an increase in receivables and unbilled receivables in progress. This was primarily due to a lack of prioritization and focus by management along with the timing of invoicing associated with customer projects and the nature of some of the work that was completed in the second quarter. As Manny mentioned earlier, cash from operations and free cash flow performance for the year and year-to-date periods did not meet the company’s expectations. The company is intently focused on improving this performance over the remainder of the year. Specifically, we will work with operations management via additional oversight and attention by senior management to drive down both accounts receivable and unbilled work in process. Our goal is that together with earnings over the second half of the year to generate over $40 million in free cash flow, which will enable us to meet our reaffirmed free cash flow outlook of $34 million to $38 million for the full year. Interest expense was $4.4 million for the quarter, up from a year ago, but essentially unchanged from the first quarter. We expect to reduce interest expense for the remaining quarters of 2024 in two ways: first, by reducing leverage, which will lead to a lower interest rate; and second, by decreasing the amount of outstanding borrowings. This should lead to a gradual decrease in interest expense over the second half of 2024. Our trailing 12-month bank-defined leverage ratio on our credit facility dropped to below 3 times during the second quarter of 2024, and it was 2.78 as of June 30. This is the lowest ratio this is – lowest this ratio has been since the third quarter of 2018. Based on our current projections, we anticipate further reductions to our leverage ratio throughout 2024 due to the anticipated increase in our trailing 12-month EBITDA and debt reductions. Over the past few years, we have primarily used our free cash flow to pay down over $90 million of outstanding borrowings. As we approach our year end 2.5 times leverage ratio goal, we now believe that capital expenditures that support our organic growth and supply superior returns at times may be a superior use of our free cash flow. Again, each of these uses will be considered as we move forward. Our overall effective income tax rate was 15.5% in the second quarter, which benefited from the discrete benefit recognized during the second quarter. We expect our full year effective income tax rate to be in the low-20% range for the full year. There is a true sense required at Mistras like never before, and it has led to the vigor with which teams have attacked the various Project Phoenix initiatives and market opportunities. These efforts are being rewarded with tremendous results. I’m extremely optimistic, not only about this year, but about 2025 and beyond, as we continue to implement initiatives that leverage the unparalleled talent, experience and capabilities and knowledge that has made Mistras a leader in the industry for over 40 years. We sincerely appreciate your continued support and expect to reward your patients with significantly improved results over a remainder of 2024 and for the longer term. At this time, I’d like to turn the call back over to Manny for his closing remarks, before we move on to take your questions.
Manuel Stamatakis: Thanks, Ed. The second quarter represented another sequential strong top- and bottom-line quarter for Mistras, providing evidence and confidence for our future performance, given our newfound discipline processes and approach. While we have optimism in our outlook, we know that there is nevertheless still work to be done to achieve our long-term aspirations and goals and we are confident in our model heading into the second half of the year. Accordingly, for 2024, we are reaffirming our previously announced guidance of full year revenue between $725 million and $750 million, adjusted EBITDA between $84 million and $89 million and free cash flow generation of between $34 million and $38 million. This is an exciting time to be leading Mistras, and I’m confident in the execution of the company’s long-term vision. I believe that achieving both our short- and longer-term goals is attainable due to our strategic investments being made to improve our sales and commercial functions and other strategic investments within Data Analytical Solutions and the Aerospace industry. Since my time as interim CEO, the company has improved its strategic vision via an energized and motivated senior leadership team working towards the common goal of rewarding shareholders with meaningful returns. I am extremely proud of our nearly 5,000 employees that believe in our plan and are working hard every day to achieve our goals and objectives. You can feel that level of energy throughout the organization and our customers are responding in kind as well with increasing levels of ROI recognition for the value that Mistras’ employees bring to the equation in delivering our mission to maximize safety and operational uptime for our customers’ vital assets. At this time, I’d like to ask the operator to open the call to your questions.
Operator: Thank you. At this time, we will conduct the question-and-answer session. [Operator Instructions] Our first question comes from Mitchell Pinheiro of Sturdivant & Co. Your line is now open.
Mitchell Pinheiro: Hey, good morning. I had a couple of questions for you. So first, congrats on like stringing together three quarters here of solid results. It’s a nice change of pace. The question that I have, my first question is on revenue and your guidance. I was not honestly surprised, but I’m just curious, at the bottom end of your revenue range for your outlook, would suggest the second half decline in the lower single-digits, maybe minus 3%. And I’m curious, is that a realistic possibility of that happening, and why would that happen? Or why wouldn’t you have raised the bottom end of your guidance to reflect a more, or whatever you expect in the second half?
Edward Prajzner: Hey, Mitchell, I can take…
Manuel Stamatakis: Yeah. Go ahead.
Edward Prajzner: Let me take that, Manny. A great question, Mitch. Really simply that as we’ve been saying all year, the spring turnaround season was extremely robust. The downstream sector is up 18% in the first 6 months of the year. As we’ve said all year, the fall turnaround season is going to moderate back to a more normal level, so that pace is not going to continue in the second half. So, yeah, what you’re observing is correct. That’s been our position from the beginning of the year. That second half fall turnaround would moderate somewhat down from the extremely high first quarter level of activity. All other sectors are good. Everything else is growing, but that one sector will moderate in the second half. So that is what we anticipated and what we’re seeing happening as the year develops.
Mitchell Pinheiro: Does it moderate to the extent that what we saw in the first half was sort of pent-up demand and not a true sort of run rate? Or is there conservatism in that number? And I’m just picking on the bottom end of the range. I realize the top end of the range is a different story. But is there anything – was it really robust in the spring, where maybe it was sort of just well above the average? Is that…
Edward Prajzner: I would say, Mitch, the way to look at it is the two halves make our average, maybe the fall and the spring combined. The schedule was set by our customer while in advance, so we expected that. Some of the work in the fall got pulled into the spring. That was their design to have a heavier testing cycle in the spring, more moderate in the fall cycle. Again, that was their plans, and we plan around that accordingly. So, yeah, I would say if you averaged out the two halves of a year on the downstream side where turnarounds hit, would be a good growth year, but ordinary cycle combined the two. But, again, the spring was stronger than average, the fall would be weaker than average, blended two together year-on-year. The turnaround activity would be as expected in a normal steady state where it is now. It’s just that you had much more work done by design in the first half of the year in the spring versus what’s planned in the fall turnaround.
Mitchell Pinheiro: Got it. Helpful. And then when I look at the only thing that I saw in the Oil & Gas side was, I noticed midstream was down year-over-year, it wasn’t particularly strong in the first quarter. And I was wondering if you could just speak to that.
Edward Prajzner: Sure. That’s really some smaller accounts, that’s where on-stream falls in the midstream primarily. They’re very solid. They had good performance year-over-year. We have some other midstream activity in the central region and elsewhere that was not on pace with last year. So that’s not a trend there. We like that sector. On-stream is very solid, but we just had some other smaller accounts that weren’t in the right direction year-over-year that led to that softness in the midstream. But we do like that sector and we see that having a better second half than it did in the first half. But all is well in that sector, but on-stream is doing very well.
Mitchell Pinheiro: Okay. And then, I mean, Aerospace and Defense had some terrific performance. And I presume its sort of running at sort of – when you’re running at 18%, 19% year-over-year growth, some of that is some pent-up demand. I guess, in the past, you had always spoke to that business being, I guess, what high-single-digit, low-double-digit kind of growth rate, and is that still what you see or is the recent results reflecting maybe an uptick in the growth in Aerospace and Defense, above and beyond what the historical rates?
Edward Prajzner: A great question, Mitch. I mean, it’s not really pent-up demand. It was for my customer. They had supply chain challenges, delivering final components, reassembled parts for final assembly. We’re helping them catch back up by this additional additive manufacturing. We’re doing mechanical steps in our shop labs, helping them get parts faster through the supply chain. But we believe it’s real, it’s commercial aerospace is extremely strong right now. Private space is also up very well, very strong year-over-year. Defense is in there too, and that’s a solid business as well. I know we keep investing in our shop labs. We did open up a new facility last year that’s really ramping up nicely this year. So there’s more we can do there. If anything, we can move faster there, because there is more and more steps our customers want us to do for them. We’re going to keep partnering with them and lean into our investment to really grow this piece of our business. So, yeah, we think that growth will continue here. We’re very optimistic, because all sectors are doing very well, the commercial side, the private side and the defense side. So we like this sector, and we see it’s an area where we continue to grow. And by doing more for the customer, taking more market share and taking on more capabilities for our customers to help them through their supply chain constraints. And we’re more than happy to do it. It’s nice long-term relationships. And we’re dealing with the principles in many cases. So that’s a sector we really like.
Mitchell Pinheiro: With that, so do you think like Aerospace and Defense, if you look longer-term is more of a double-digit type of grower for you? Is that a fair statement or not to put words in your mouth, but is that something that you think you can achieve with reasonable confidence?
Manuel Stamatakis: Mitch, we’ve identified that sector as one that we want to continue to grow. We’ll be investing in that sector. We have some strategic plans to increase our business in that sector. So that’s an area that we believe we’re going to be creating it much better growth than we have in the past. So our goal is to continue to grow that in double-digits.
Mitchell Pinheiro: Okay. And then, Manny, actually a question for you on the CEO search. So you – I think, I missed what you fully said about it. Do you think you’ll have someone identified by the end of the third quarter and then on-board fourth quarter? Is that what I heard? Or…?
Manuel Stamatakis: Yes. We could have them on-board sooner, but once you identify a candidate, you’ve got to deal with what they have to clean up before they can make a move. So we’re confident we’ll identify somebody by the end of the third quarter and should have them on-board before the end of the year. That’s been the goal all along. We do have some good candidates that we have identified. We just need to go through the process and make sure we get the right person.
Mitchell Pinheiro: Okay. And then, moving back sort of to the numbers a little bit. On the gross margin, and I’m sort of curious, the detail that you put in around the different of mix between gross profit benefits and the SG&A benefits, what was driving that? Could you get a little more detailed as to your revisions there?
Edward Prajzner: Well, first, I mean, you have the Phoenix benefits, obviously. There’s overheads up in cost of goods sold just as much as down in SG&A. So that’s a part year-over-year that we’re definitely benefiting from. The pricing is helping us too, as we mentioned, a significant amount about one quarter, 2% of our pricing, of our revenue increase was due to pricing. So that’s certainly helping margins as well, the uplift there from the pricing side, coupled with the overhead of Project Phoenix going even further there. And, the mix of business is also starting to work in our favor as well. So they all combine there for that a significant improvement you saw in margins in the quarter, 140 basis points. So combination of all activities there really starts with the pricing lift goes a long way and then locking down the overheads is the other big piece of that. But, you also have a little bit of a favorable mix of business. I think the diversification where all end markets, all industries were up helps as well, where everybody’s contributing. Aerospace, certainly Aerospace and Defense has a nice margin profile to it. The fact that it was the highest flyer part in the pun in the quarter goes a long way as well. That helps drive up the favorable mix comment that we made. So it’s a combination of each of those factors leading to that gross margin improvement.
Mitchell Pinheiro: Okay. And then, but as you based on your guidance, what was going to be like a gross profit benefit of $3 million now, I forget what you said, it’s going to be maybe $8 million. Is that – and SG&A a little lower, is that just – is that a mix, business mix based on what you see for the rest of the year or was there less available in like SG&A savings? I mean, I just didn’t quite understand that.
Edward Prajzner: Oh, sorry, I probably said that rapidly on the script, but yeah, it’s a re-class, essentially – not a re-class, it’s a re-categorization. The $15 million of EBITDA benefit that we expected full year is being realized and that’s been confirmed. It’s just where it’s going to materialize on the P&L is a little different than our outlook assumes. So there’s about a $4 million benefit now that we see coming through the cost of goods sold line, not through the SG&A line. So we had – the aggregate number is correct, EBITDA is not affected by any of that, but some of that savings that we initially anticipated coming through the SG&A line is actually going to be up in the cost of goods sold line. So there’s about a $4 million or $1 million a quarter benefit now that’s going to be up in COGS, not down in SG&A is what it comes down to. The aggregate number is whole, been confirmed and being realized, but it’ll just be off the line as to where it is. Again, no effect on EBITDA.
Mitchell Pinheiro: Just a couple of more questions and then I didn’t quite – I noticed as you had talked about maybe the conversion to free cash flow this quarter wasn’t – what you wanted. And you see the accounts receivable up about whatever $17 million from year end. I don’t have the first quarter level. But what specifically was sort of missed or not followed up on to cause the rise in accounts receivable? And is it any one segment or is it broadly across the business?
Edward Prajzner: Yeah, great question, Mitch. It’s just our lack of intensity, lack of focus on it is the blunt answer there. Unfortunately, that’s on management. And we will put more focus or putting more focus on that. To give you – and it is sort of universal, but it is largely concentrated in our field business. To give you a scale of that, I mean, accounts receivable in all open trade AR and WIP was almost $150 million to [$130 million] [ph], it was barely over $130 million at the end of the year. So you have a significant buildup in that number. That’s on us and we need to run that back down. And we are going to refocus on that by just putting more intensity on it. But it’s not a collectability concern. It’s simply we didn’t invoice timely enough. Now some of that’s the nature of the work. Turnaround work is, which is a big piece of the growth in Q2, is a little slower to get collected than other work. So a little bit of the nature of the work led to the delay, but it’s more on management. We really need to just double down on our focus there with better discipline. And we will and we expect to make a meaningful impact on that in Q3 and in Q4 to work that back down. So it’s not a concern from the customer side. It’s just our lack of making that the top priority is what it came down to. So we own that and we will refocus on that.
Mitchell Pinheiro: And then on the Data Analytics side, I understand that you’re going to have a stronger second half, you have a new PCMS contract coming online. So in the outlook, are you still confident that the Data Analytics with further investments is going to be a meaningful driver of not only that revenue, but also just driving other revenue, other maintenance and sort of upkeep type of revenue that goes along with the PCMS?
Manuel Stamatakis: We still believe that Data Analytics is going to really be a major driver moving forward and are developing strategic plans to ensure that happens. We will be investing in that sector even more. The fact that we have a platform that is capable of collecting data digitally is really important and meaningful. This is something a lot of our customers want to see, that they can get their testing and integrity data electronically. We have that with our PCMS mobile, so this is a big part of our future. You will be hearing more about that. We are in the building process now, and we will be enhancing that entire segment of our business.
Mitchell Pinheiro: Okay. That’s about it for me. I will get back in the queue. Thank you.
Edward Prajzner: Thank you, Mitch.
Operator: Thank you. Our next question comes from the line of Chris Sakai from Singular Research. Your line is now open.
Christopher Sakai: Hi, good morning. What were the main drivers there in North American Aerospace and Defense revenue growth, and can we anticipate those to continue on into the remainder of the year and in the future?
Edward Prajzner: Yes, Chris. Yeah, the Aerospace and Defense business, as you’re pointing out, up significantly in the quarter in the first half. It’s really two factors. It’s North America back to pre-pandemic levels, international quickly heading there. It’s really our expansion in the commercial aerospace side, taking on more steps. Again, we have a new facility online. We’re doing more mechanical work, more additive manufacturing for our customers. Private space is also doing very, very well, and Defense is also very stable as well. So all sectors of Aerospace and Defense are doing well. North America, primarily the strength International, is up not quite to the level of North America. But yeah, it’s a very strong market. There’s lots of growth there. We believe there’s lots of upside there. We’re still not back to pre-pandemic levels overall for Aerospace and Defense. So we believe there’s more upside there. As Manny said earlier, that we do believe we can grow double-digit there by continuing to do more work for our customer, taking on more share, doing more steps for the customer. There’s a real need there, and we’ll continue to invest our CapEx to fuel that piece of our growth in Aerospace and Defense. So as Manny said, it’s one of our high growth sectors that we’ve identified. And yeah, we believe that’ll be a recurring theme here where that’s one of our high growth opportunities.
Christopher Sakai: Okay. Thanks. Then, for International Oil & Gas, it looks like there was a pretty sizable increase year-over-year. What was the main drivers there and can we anticipate something like that in the future?
Edward Prajzner: Great question, Chris. Yeah, International definitely had some great Oil & Gas business. A few large extended turnarounds were happening for them just as it was in North America. So yeah, that was, again, they had a very good spring, robust spring turnaround season. That will moderate for them in the fall, but I will say that they’ve got other very balanced – it’s a very balanced portfolio in International. They have a very strong aerospace business, which is growing. So, yeah, net-net, we think International will stay strong. That one sector, Oil & Gas was particularly strong in the first half, so that may moderate for them in the second half. But, no, International is doing very well and lots of good growth and profitability, so we do expect that to continue, but they had an extraordinarily good performance there with some good turnaround work in the first half.
Christopher Sakai: Okay. Thanks. And last one for me. As far as accounts receivables are concerned and unbilled services, can we expect those to decline next quarter?
Edward Prajzner: Absolutely, yeah. Key intent focus we’re putting there to drive that back down, and we do expect favorable changes with significant free cash flow in Q3. We’re putting a lot of focus and attention on that. So absolutely, we do believe Q3 and Q4, if that matter, to come back to our initial outlook for the year for free cash flow. We do reaffirm that, and we are going to focus very hard on improving that metric in Q3.
Christopher Sakai: Okay. Great. Thanks for the answers.
Edward Prajzner: Thank you.
Operator: Thank you. And our next question comes from the line of John Franzreb of Sidoti & Co. Your line is now open.
John Franzreb: Good morning, guys, and thanks for taking the questions. I’d like to start with the pricing initiatives. Can you give me a sense of how far along you are in that process, and how long do you think it will take to fully recognize the pricing strategy that you want to realize?
Edward Prajzner: Sure, John, thanks for the question. I can start, and Manny can maybe add to that. But, yeah, what we really did was we were challenged historically, I think, on pricing with customers. So Project Phoenix kicked off this whole commercial function, which is very vital to how we go about pricing going forward. We started really, John, in the lower size, smaller customers call out work, the one-time purchase here and there of our services, started there have made very good traction. What we’re doing now is moving up sort of the tree [ph] to larger customer sizes. Many of our customer pricing agreements and whatnot are governed by multi-year MSAs that only get reset every 2, 3, 4 years. So as they come up, we’re taking a hard look now at, what is the pricing? What is the ROI in negotiating as we go? We didn’t have the ability to sort of feather this in across the board up front, but we are as contracts renew, having good healthy discussions on the ROI, the value we add and what the pricing should be. So, we’ve always gotten pricing before. Now, it’s much more of a methodical way of going about it with a commercial function, with the deal desk, with things that have us think through the cost structure and getting in mechanical ways and contractual ways of making sure there’s goal is built in there with customers, where we’re getting value for all the great investment we’re doing and value add we offer to the customer. So, I don’t know, a baseball analogy, we’re probably in the third, fourth, fifth inning, we’ve gotten many through now. But there is still some upside here. We expect that to continue to come into the mix as the next renewal comes up for that multi-year contract. We’ll have that healthy negotiation with the customer and negotiate a better strategy going forward on the pricing side. So that’s our approach there. So much of it has been achieved now. And as we said, a good portion of our revenue growth right now is coming from pricing. That’s a change over the last year or so from our recent history. We believe there is still more upside to come.
John Franzreb: Great.
Manuel Stamatakis: Let me add to that.
John Franzreb: Certainly.
Manuel Stamatakis: It’s not just about revenue growth. It’s about margins. And our focus is to improve our margins. There are some revenue that is very low margin. We need to change that. As Ed talked about, some of the MSA agreements are multiple year, 2, 3, and up to 5 years. Historically, those contracts, they need improvement. We are now reviewing every single MSA that comes up to make sure that we have the ability to pass-through cost increases, force majeure issues, and so forth. So I think over time, you are going to see our profitability increasing on the lower margin business with a focus on revenue, but profitable revenue.
John Franzreb: Okay. So these contracts at the low end of the price spectrum, they are still profitable. They are not unprofitable contracts. Is that correct?
Manuel Stamatakis: Yes. Any unprofitable contracts will be looking at whether we even want to renew those.
John Franzreb: Fair enough. And regarding the deferred revenue in data, I may have missed this, but can you tell me, put it in context, how much has been deferred from the first half into the second half, and will it be an equal split between Q3 and Q4, or is it back-end weighted?
Edward Prajzner: Yeah, I’ll take that, Manny. It’s a combination, John, of a couple of things there. There’s some work that did get pushed out and some work that didn’t quite ramp up as fast as we wanted to. So there’s a mix of that. So some of that got pushed out in Q3 and 4, some of that could have gotten pushed into 2025 at this point. It’s a question of when you can get back the implementation plan done. So, there is growth coming from that overall group in the second half, how much of it exactly gets recaptured in the second half from the first half yet to be determined. But as Manny elaborated on the call, there is some new work we’re winning there, some new contracts that weren’t in our forecast. Those are going to start to recover some of that deferral we had. And then, we are trying to ramp up that piece of the business with new resources, new implementers, to expand there. So, I can’t give an exact answer there. We do expect to recover much of that miss that we had in the first half, but some of it could slip into the following quarter and might be early 2025. But they’re back online. They are growing and those projects will be implemented. They weren’t canceled. They just simply got pushed out in time. Can’t quite control when we’ll be able to reset and get that work done. But, we have every expectation of having growth in the data solutions group in the second half.
John Franzreb: I was just considering the margin benefit of the business. I was just curious if it’s just a couple of million or is it in excess of that that kind of a threshold?
Edward Prajzner: Oh, yeah, no, we’re talking about millions of dollars of deferral. It’s not bigger than that. So yeah, it was not an outsize kind of deferral. It was fairly modest in terms of revenue. Again, they were up very – they dug the hole in Q1. Q2, they actually had some modest growth. So they’re on the right trajectory. Now, they just have to kind of grow even greater in the second half and they will, they kind of just got back to even here in Q2 with modest growth. Now, they’re going to lean in and kind of recover that year-to-date deficit they have right now from 6 months. They will recover that in the second half.
John Franzreb: Fair enough. And not to be the dead horse on this receivable issue, but is it something to do with like change orders to like some of the projects that took a while to be captured or to invoice, is it something as simple as that or is there something more to it?
Edward Prajzner: It is that kind of thing John, it’s very – I mean, we are building a lot of labor hours. So when, where, and how they were approved and the customer approving all of that, there is a lot of time to be amazed at the level of documentation to get our invoice through to the customer. So that’s an excuse though, we have to be better than that and persevere and get the approvals timely so that it is queued up and invoiced and then collected for terms. So that’s on us. It is a little more complicated than it needs to be so we are in the process now of working on the low hanging fruit to improve that metric in Q3 and 4 period, and then think about longer-term. How can we sort of simplify the process, where it’s not such an extended delayed processing time with the customer, find ways to improve that cycle time is what we’re also looking at? Job one is to simply improve that metric. But yes, it is that type of thing where, stay in front of it, don’t go over the customer’s PO limit, get an amendment sooner than later, if you see that happening. It is a lot of those kind of basics and blocking and tackling that we have to make front and center as a bigger priority to avoid kind of this sort of delay and underperformance that we experienced in the first half.
John Franzreb: Okay. Fair enough. Thanks for taking my questions.
Edward Prajzner: Thank you.
Operator: Thank you. This does now conclude the question-and-answer session. I would now like to turn it back to Manuel Stamatakis for closing remarks.
Manuel Stamatakis: Thank you, operator. And thank you everyone for joining this call today and also for your continued interest in Mistras. I look forward to providing you with an update on our business and progress achieved towards our ongoing initiatives on our next call. Everyone, please have a safe and prosperous day.
Operator: Thank you for your participation in today’s conference. This does conclude the program. You may now disconnect.